Operator: Good day, everyone, and thank you all for joining us to discuss Equity Lifestyle Properties First Quarter 2025 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call, management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the company's earnings release. [Operator Instructions] As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meanings of the Federal Securities Laws. Our forward-looking statements are subject to certain economic risks and uncertainties. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. In addition, our -- during today's call, we will discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release, our supplemental information and our historical SEC filings. At this time, I'd like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: Good morning, and thank you for joining us today. I am pleased to report the results for the first quarter of 2025. The quality of our cash flow, our in-demand locations, the lack of new supply and the strength of our balance sheet allow us to report impressive results. We continued our long-term record of strong core operations and FFO growth with growth in NOI of 3.8% and a 6.7% increase in normalized FFO per share in the first quarter. We are pleased with our outlook for the remainder of 2025. We have maintained our strong full year [indiscernible] FFO guidance of $3.06 per share. Over the last 10 years, our average core NOI grew 5.3% and normalized FFO grew nearly 8%, both outpacing the REIT industry over that time. Our balance sheet is in terrific shape with an average term to maturity of more than eight years. 19% of our debt is fully amortizing and not subject to refinance risk and our debt maturity schedule through 2027 shows only 9% of our debt coming due compared to the REIT average of 30%. During uncertain times, it's helpful to appreciate the stability of our business and the reasons it will continue to be stable. Our MH portfolio comprises approximately 60% of our total revenue and our properties are 94% occupied. Our properties stand out due to their ability to maintain high occupancy levels once achieved. This is driven by the unique composition of our resident base. Homeowners occupy 97% of our MH portfolio creating long-term stability and reducing turnover. A high percentage of homeowners plays a key role in maintaining consistent cash flow. Our communities foster a sense of connection where residents are focused on building relationships and contributing to an engaged neighborhood environment. Within our RV footprint, our annual revenue grew 4.1% in the quarter. Our annual customers stay with us in park models, resort cottages and RVs. We welcome many multigenerational customers who consider our properties as part of their family history. Our transient day service is an important entry point for introducing new customers to our properties, laying the foundation for long-term revenue growth. Turning to demand. Our offerings across our portfolio are unique. We offer great long-term experiences in sought-after locations at a fraction of the cost in those locations. We are engaging with our customers through traditional e-mail campaigns, social media outreach, digital advertising and ambassador programs. For the quarter, our websites attracted a combined 1.7 million unique visitors and generated 72,000 online leads, reflecting strong engagement. The drivers of the lead generation are from our RV annual site lease campaign and trip planning lead generation. Our social media strategy seeks to engage both customers and prospects in a wide variety of platforms. We have over 2.2 million fans and followers across the social media networks. Over the past 10 years, we have grown our social media fans and followers by an average of 30% annually. I want to thank our team for a great start of the year. They've done an excellent job supporting our snowbird guests and now we're getting ready to welcome our customers for the upcoming spring and summer season. Our REIT-leading performance is made possible because of the efforts of our 4,000 team members across the country. I will now turn it over to Patrick to provide more details about property operations.
Patrick Waite: Thanks, Marguerite. Our business is currently in its spring seasonal shift with snowbirds in our Sunbelt locations beginning to head north and our northern locations preparing for the summer rush. This shoulder season is an opportunity to look at the elements that shaped our first quarter results as well as what we see ahead for the summer season. The fundamentals of our business remain strong. New supply of manufactured home communities and RV resorts continues to be limited with MH entitlement most challenging. Our portfolio of MH and RV properties offer prime locations and meet demand from homebuyers and RV vacations. First I’ll focus on our MH business. Our MH occupancy is at historically high levels. And on average, ELS homeowners pay $80,000 to $100,000 for a new home and renters paid $1,500 per month. Our high homeowner count results in stable occupancy with homeowners in our communities remaining an average of 10 years. For a perspective on the relative value of homes in our MH communities I’ll highlight three states, Florida, California and Arizona that comprise the largest share of our MH business. In our primary submarkets in Florida, the average single-family home price ranges from over 370,000 in Tampa St. Pete to nearly 460,000 and in the Fort Lauderdale, West Palm Beach submarket. Homes in Northern California, around San Francisco and San Jose averaged over 1.4 million; and in Southern California in Los Angeles and San Diego, it's just over $1 million. While homes in the Phoenix and Mesa submarket average more than 425,000. In each submarket, our communities offer great value to residents, both homeowners and renters. Our largest market is Florida, and last quarter, we discussed the impact of recent hurricanes on MH occupancy. The result of last season's hurricanes, we lost approximately 170 occupied sites in Q1 in addition to more than 90 occupied sites in Q4. We are ordering replacement homes, and we will see the positive impact on the community and cash flow in coming quarters. On the RV side of our business, we continue to see strength from our annual sites, where we saw 4.1% revenue growth in the quarter. Customers are averaging annual -- I'm sorry, leveraging annual sites for their RV or park model as an attractive and affordable path to a vacation home or like house. The annual site rent on one of our properties is a fraction of the cost of a mortgage on a second home, particularly on a home offering amenities like water access, a swimming pool and a club house with sports courts, among others. For many customers, the annual site rent ranging from $5,000 to $6,000 in the north and averaging about $8,000 in the Sunbelt is equivalent to the cost of their annual weeklong vacation considering travel expenses and accommodations. Annual customers typically purchase a park model for $25,000 to $100,000, which compares favorably to vacation homes that often exceed $500,000 in some markets where our properties are located. These annual sites provide a stable revenue base for our RV portfolio, accounting for more than 75% of our core RV revenue. While transient sites are an important element of our business, including serving a pipeline for annual sites and membership sales. We have less visibility into this revenue line as the time between booking and travel continues to be short. More than half of our transient reservations are booked within 30 days of arrival. A majority of our full year transient revenue comes to us in Q2 and Q3 when we see historically high holiday demand. We're looking forward to our annual 100 days of camping promotion spanning from Memorial Day to Labor Day. This will be our 11th season celebrating the 100 days of camping. We see very high engagement levels with this promotion. We saw more than $38 million impressions for the campaign last summer. Now, I'll turn it over to Paul.
Paul Seavey: Thanks, Patrick, and good morning, everyone. I will review our first quarter 2025 results and provide an overview of our second quarter and full year 2025 guidance. First quarter normalized FFO was $0.83 per share, in line with our guidance. Core portfolio NOI growth of 3.8% compared to prior year was in line with our expectations for the quarter. Core community-based rental income increased 5.5% for the quarter compared to the same quarter in 2024. Rate growth of 5.7% was in line with our guidance, primarily as a result of noticed increases to renewing residents and market rent paid by new residents after resident turnover. Our high-quality resident base consists of more than 97% homeowners with very low levels of bad debts written off currently below 40 basis points on average. First quarter core resort and marina based rental income performed in line with our budget. Rent growth from annuals increased 4.1% for the quarter compared to prior year and was slightly higher than our guidance. Transient rent was down 9.1% compared to first quarter 2024. For the first quarter, the net contribution from our total membership business, which consists of annual subscription and upgrade reps offset by sales and marketing expenses was $15.5 million, an increase of 4% compared to the prior year. Core utility and other income increased 3.9% compared to first quarter 2024. Our utility income recovery percentage was 47.6%, about 110 basis points higher than first quarter 2024. First quarter core operating expenses increased 1.5% compared to the same period in 2024. Property operating and maintenance and real estate tax expenses increased 2.6%. Membership sales and marketing expenses were in line our budget and lower than prior year. We renewed our property and casualty insurance program April 1, and the premium decrease year-over-year was approximately 6%. We are pleased with the result, which reflects no change in our property insurance program deductibles or coverage. Core property operating revenues increased 2.9%, while core property operating expenses increased 1.5%, resulting in growth in core NOI before property management of 3.8%. Our noncore properties contributed $4 million in the quarter, slightly higher than our expectations as a result of expense savings. JV income includes income recognition related to an expected distribution from one of our joint ventures. The press release and supplemental package provide an overview of 2025 second quarter and full year earnings guidance. The following remarks are intended to provide context for our current estimate of future results. All growth rate ranges in revenue and expense projections are qualified by the risk factors included in our press release and supplemental package. Our guidance for 2025 full year normalized FFO is $3.06 per share at the midpoint of our guidance range of $3.01 to $3.11. We project core property operating income growth of 5% at the midpoint of our range of 4.5% to 5.5%. We project the noncore properties will generate between $8.2 million and $12.2 million of NOI during 2025. Our property management and G&A expense guidance range is $119 million to $125 million. In the core portfolio we project the following full year growth rate ranges. 3.2% to 4.2% for core revenues, 1.5% to 2.5% for core expenses and 4.5% to 5.5% for core NOI. Full year guidance assumes core MH rent growth in the range of 4.8% to 5.8%, full year guidance for combined RV and Marina rent growth is 2.2% to 3.2%. Annual RV and marina rent represents approximately 70% of the full year RV and Marina rent, and we expect 5% growth in rental income from annuals at the midpoint of our guidance range. Our full year expense growth assumption includes the impact of our April 1 insurance renewal for the rest of 2025. Our second quarter guidance assumes normalized FFO per share in the range of $0.66 to $0.72 that represents approximately 23% of full year normalized FFO per share. Core property operating income growth is projected to be in the range of 5.4% to 6% for the second quarter. Second quarter growth in MH rent is 5.3% at the midpoint of our guidance range. We project second quarter annual RV and Marina rent growth to be approximately 4.6% at the midpoint of our guidance range. Our guidance assumes second quarter seasonal and transient RV revenues perform in line with our current reservation pacing. Second quarter growth in core property operating expenses is projected to be in the range of 1.6% to 2.2%, and includes the impact of our April 1 insurance renewal. I'll now provide some comments on our balance sheet and the financing market. Our balance sheet is well positioned to execute on capital allocation opportunities. As of the end of March, we have only $87 million scheduled to mature before 2028 and our weighted average maturity for all debt is 8.4 years. Our debt-to-EBITDAre is 4.4 time and interest coverage is 5.4 times. We have access to approximately $1 billion of capital from our combined line of credit and ATM programs. We continue to place high importance on balance sheet flexibility, and we believe we have multiple sources of capital available to us. Current secured debt terms vary depending on many factors, including lender, borrower sponsor and asset type and quality. Current 10-year loans are quoted between 5.5% and 6.25%, 60% to 75% loan-to-value and 1.4 times to 1.6 times debt service coverage. We continue to see solid interest from life companies and GSEs to lend for 10-year terms. High-quality, age-qualified MH assets continue to command best financing terms. Now we would like to open it up for questions.
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Jamie Feldman from Wells Fargo. Your question please.
Cooper Clark: Hey, this is Cooper Clark on for Jamie today. Thank you for taking the question. On the MH top line guidance cut and full year reduction, was there anything outside of the hurricane impact that drove this number lower? And also just wondering if you've seen any material changes in the MH mark-to-market on new leases recently. I believe it was roughly 14% last year?
Marguerite Nader: Good morning, Cooper. Patrick, maybe you could walk through that.
Patrick Waite: Yes, sure. Let me just start by taking a step back to last October when we set our initial expectation for rate in the MH space, and we're at 5%. Our rate growth is now 5.6%. So I think that shows strong demand across the resident base, good consistent demand from our in-place residents. And for the mark-to-market, it's running in the mid-teens, about 14%. Year-to-date the occupancy headwind, as you noted, is the result of the hurricanes. We experienced a loss of 176 sites in the quarter as a result of the hurricanes and just to put that in perspective, the Q1 occupancy is down 171. So if you control for the hurricanes to take that out of the basic math, the occupancy for the portfolio was flat to slightly up which, again, I think underscores the consistency of the demand part.
Cooper Clark: Thank you. And then earlier on the call you mentioned the average length of stay in the MH portfolio is 10 years. Just wondering what that figure was pre-COVID?
Patrick Waite: That was around 10 years. It's been pretty consistent.
Marguerite Nader: And that number, I would say Cooper has been consistent over the last 30 years, that 10-year mark.
Operator: Thank you. And our next question comes from the line of Eric Wolfe from Citi. Your question please.
Eric Wolfe: Hey, thanks. Just to follow up on the MH question a second ago. I guess at the time you gave guidance, you probably would have known about the storm damage. So I was just curious, is it normally that the people stay through the storm damage and this time, they decided not to. Like, what changed versus the original guidance and why? Because I think the guidance you gave was sort of at the end of January, hurricanes in 4Q. So just trying to understand like if the behavior among storm impacted tenants changed a bit versus what normally happens.
Patrick Waite: Yes, I don't know that I'd say that the behavior changed. And as you work your way through the aftermath of the hurricane. There's homes that are significantly impacted, and that's clear. And then there's a significant number of homes where the individuals who own those homes either haven't come down from up north yet. So they come down over some period of time and evaluate any damage or they are living at the property and they're evaluating what their options are. They're reviewing what their options are to complete any repairs and that are almost repairable. That tends to play out over several months after we work our way through the initial assessment. So it can be difficult to get that visibility until the residents are actually making their final decision on whether or not they're going to repair their home or move on to whatever their next housing choice is going to be.
Marguerite Nader: And Eric, a clear indicator for us is certainly if they're paying us rent which they were prior to making the decision to move their home or no longer stay in the community. So that's the difference between January and now.
Eric Wolfe: Got it. Makes sense. And I know you've given some of this information not on calls a couple of years ago, but could you just help us understand sort of what your exposure is to the Canadian customer and whether you sort of factored in any changes to that customer's behavior into your guidance? Or if you think it's probably unlikely to materially impact your guidance this year?
Paul Seavey: Yes. I think for -- just as a reminder, what we've talked about in the past is roughly 10% of the RV revenue comes from Canadian customers. Half of that roughly is annual rent and then the remaining 50% is split between seasonal and transient. The first quarter, obviously, is behind us. And so, the seasonal impact is really in the first quarter of the year. And so, we don't -- we didn't make any change to guidance as a result of that. I think the next kind of meaningful impact that we would see would be into the first quarter of 2026. And just to circle back on the annual for a moment, those customers primarily have a park model or an owned unit in place. And so, if they decide not to return, there's a transfer of ownership that occurs and our revenue stream remains uninterrupted as typically happens on turnover of customers.
Eric Wolfe: Thank you.
Marguerite Nader: Thanks, Eric.
Operator: Thank you. And our next question comes from the line of Jana Galan from Bank of America Securities. Your question please.
Jana Galan: Thank you. Good morning. I'm just curious, any chance that you could discuss the MH occupancy trends that you have embedded in the guidance for the second quarter through year-end?
Paul Seavey: Generally, we have an assumption for a modest increase in occupancy for the remainder of the year. Typically, we don't forecast forward, significant uptick in occupancy, and we've kept that consistent in 2025.
Jana Galan: Thank you. And then maybe just if you could provide some color on trends in MH home sales kind of the mix of new and used and what you're seeing in the early spring selling season?
Patrick Waite: Yes, sure. Well, we're in a bit of a shoulder season here. So let me just touch on Q1, where we saw some headwinds in Florida that's basically hangover from the hurricanes that occurred late in the quarter. And as we're moving through the shoulder season, we're seeing consistent demand including applications for new home sales. And as I referenced, that consistent mark-to-market as people are choosing to purchase a home in our property and accepting a 14% increase in the in-place rent. With respect to the used home sales, I mean, it's a very small part of the business and we see consistent demand there as well, but the larger driver of our overall occupancy is the new home sales.
Jana Galan: Great. Thank you so much.
Marguerite Nader: Thanks, Jana.
Operator: Thank you. And our next question comes from the line of Steve Sakwa from Evercore ISI. Your question please.
Steve Sakwa: Yes. Great. Thanks. Can you maybe just talk a little bit more about the seasonal and transient RV? If I did my math right, I think you did reduce the revenue growth a little bit. So just curious, is that sort of an expectation that international travel may come down? Is that just a little more cautiousness about the U.S. consumer. Maybe what drove that?
Paul Seavey: Well, maybe, Steve, I'll start by just reminding everybody of how we forecast our seasonal and transient and then Patrick can step in with some more color. But in terms of our process, if you think about the first quarter, we earn about 50% of that seasonal rent and about 20% of the transient rent and then by the end of quarter two, we've earned about two-thirds of our full year seasonal and almost 45% of the full year transient. And then in the third quarter, 40% of our transient rent comes in. Because of the short booking window, we've adopted a practice and I think I mentioned it during the call in January, we used it when we prepared our budget we focus on reservation pacing at the time for rent we anticipate earning in the coming quarter. And then we've left our budget assumption alone. So the change in the forecast that you see is really our reservation pacing for the second quarter. Maybe Patrick, you can address some comments.
Patrick Waite: Yes. And Steve, I just also just touch on for transient, as I mentioned in my opening comments. It's a short booking window and continues to be. But just looking forward to the summer season, we have over 200 RV properties and 85% of them are pacing in line with the same time last year. So it's a smaller subset of the portfolio that is experiencing some headwinds when we're reviewing pacing in the northern markets around the Wisconsin Dells, coastal New Jersey, somewhat in bar harbor Maine. We see lagging at a small number of properties common trend that we characterize as a normalizing of demand. And just for further perspective, in the case of Bar Harbor, we're seeing commentary around service level changes at Acadia National Park potentially leading to fewer visits there, and that would have a marginal impact on our properties in that submarket.
Steve Sakwa: Okay. Great. Thanks. Maybe could you just touch on home sales. I think they were down. I know it's not a large number and not a huge revenue contributor, but home sales were down in the quarter. Anything that you noticed there and I guess, any just sort of broad changes in your expectation about home sales over the balance of the year?
Patrick Waite: No, I think the -- I touched on this last quarter, and there's a little bit of carryover into Q1. The hurricanes in Florida were impact. We feel like the demand profile in Florida is still very strong, but we've seen a recovery along the Gulf Coast that was impacted and as we moved into the winter season, the winter up north was not particularly cold, so that hampered some of our velocity in the Western Sunbelt for us. As we look forward to the summer season, I think we feel pretty good about the demand that we're seeing. And I've touched on this frequently just that the -- we've been through a period of elevated new home sales. A good year pre-COVID would be call it $500 million to $600 million. Last year, we were, for the full year, about 750 home sales and we were 117 for Q1, which, as you pointed out, is down 74% year-over-year. That's a lot of color. But overarching, I think we feel pretty good about the demand profile for the MH portfolio.
Operator: Thank you. And our next question comes from the line of Michael Goldsmith from UBS. Your question please.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. My question is on the insurance renewal. What were you assuming in your guidance prior to it coming down 6%? And just what was the conversation with the insurance providers, given you've had a couple of incidents or storms over the last couple of years, we've just taken things offline. So how are you able to drive a decrease of 6%. Thanks.
Paul Seavey: Sure, Michael. So as I mentioned, our core expense growth assumptions include the impact of the renewal we disclosed in our earnings release as well as other changes to expense assumptions based on actual first quarter experience and insight into the remainder of the year. Our insurance premiums were down 6% compared to prior year. Negotiating insurance programs for our portfolio is a fairly complex endeavour with multiple parties involved. Consistent with past practice, we do not share our budget assumptions in order to help us secure the most favorable renewal terms for the current and future programs. Then with regard to the conversation with the carriers, I think there was certainly discussion of the events that you mentioned, there were two storms at the end of 2024. One was a far more modest storm that did not result in a claim. So there was one storm that did result in a claim.
Marguerite Nader: And then I think the other thing, Paul, you mentioned in your comments that there's no change. There was no change in the deductibles or the coverage, which I think is an important point, Michael, to note.
Michael Goldsmith: And then just as a follow-up, can you talk on the guidance, right, you took down the annual MH guidance by 40 basis points, RV down by 50 basis points, but then the total same-store revenue was down by 20 basis points. So can you talk about some of the offsetting factors? I assume that relates to memberships and some other factors. But can you provide a little bit more color on that? Thanks.
Paul Seavey: Yes. I think that as we mentioned, we have the occupancy impact on the MH and then discussed a little bit about the impact on the RV. We do have some adjustments to our other line items in the quarter. Some of it is timing related associated with insurance proceeds that we might recognize and just some other changes.
Michael Goldsmith: Thank you very much. Good luck in the second quarter.
Paul Seavey: Thank you.
Marguerite Nader: Thanks, Michael.
Operator: Thank you. And our next question comes from the line of Wesley Golladay from Baird. Your question please.
Wesley Golladay: Hey, good morning, everyone. Are you seeing more Canadians listing their homes for sale? And can you give us your overall MH exposure to Canada?
Patrick Waite: Yes, I don't know that I have our overall exposure to Canadians in the MH space. I would directionally say that it's similar to what Paul covered earlier with respect to the RV business. And we are not seeing any trends coming through with respect to Canadian demand on the MH portfolio or listings of the existing residents in our MH portfolio from Canadians. I've been on site through -- several times through the Sunbelt season. And I can tell you that the Canadians were there all seem very happy to be there. And we're sharing their interest in coming back next year.
Wesley Golladay: Thank you.
Operator: Thank you. And our next question comes from the line of John Kim from BMO Capital Markets. Your question please.
John Kim: Thank you. How long do you think it will take to regain the occupied sites, the 260 lost in the last two quarters due to the hurricanes? Will it be this year event or it would take a couple of years to fully [indiscernible]?
Marguerite Nader: I think that as we see -- as we begin to repopulate those sites with homes, I think you'd see that take place over the next couple of years as we build up the occupancy in Florida.
John Kim: And so, why would it take more than, I guess, 12 months? Like how would it take a couple of years?
Marguerite Nader: It would take into 2026, I guess, I think the rest of this year and into 2026.
John Kim: Okay. Great. And then my second question is on the casual RV user, like the seasonal transient and Thousand Trails. Why do you think it's continued to be weak? I guess you had to pull forward in 2021 and 2022 and you had three straight years where it's been either weak or declining. Do you think that seasonal transient goes back to 2019 levels? And can you maybe comment on any change in demand among generations? I think during COVID, you had widespread increase from baby boomers all the way to Gen Z. Have you noticed anything different than those customers have pulled back?
Marguerite Nader: Yes. I think recently, our seasonal revenue has seen some pressure on the growth due to seasonal workers and displaced residents. So we're seeing that, but we think the demand remains very strong, and we look at that from the length of stay. The length of stay for a particular customer has been same over the last few years. But it's just some of those workers just no longer have the work that they were doing, and that causes a bit of a decline in that demand. And we're seeing the most of that happen in Florida. But overall, I think the demand is very strong, as you can see on the annual side of our business. And we continue to show strength in being able to convert an annual and seasonal into -- I'm sorry, seasonal and transient into an annual customer.
John Kim: Okay. Thank you.
Marguerite Nader: Thanks, John.
Operator: Thank you. And our next question comes from the line of John Pawlowski from Green Street. Your question please.
John Pawlowski: Hey, good morning. Thank you for the time. Patrick, I still don't understand the cadence of manufactured housing occupancy throughout the quarter. So you told us a few months ago, occupancy was at 94.8% as of end of January, which implies you lost 80 basis points of occupancy between January to end of March and 176 shakes out like 25 bps of occupancy. So the occupancy loss throughout the quarter seems to be more than just storms. So can you help me understand what the moving pieces here?
Marguerite Nader: Sure, John. I think maybe Paul would be able to walk through that a little bit based on the guidance and the numbers.
Paul Seavey: Yes, John, I do think there's a little bit of confusion. So at the end of the quarter core occupancy was 94.4%. You can see on Pages 8 and 9 of the earnings release that occupied sites were nearly the same for the quarter average as at quarter end. What happened during the time period when lost those occupied sites related to the storm events that Patrick mentioned, we completed expansion sites and added those to our core site count, which impacted the occupancy percentage.
John Pawlowski: Okay. That makes some sense. And then on the -- actually one more follow-up there. Paul, you said that you expect a modest uptick in occupancy. What's your definition of modest? Are we talking 10 to 20 bps. Is that the right ballpark to think about?
Patrick Waite: Like 25 to 50 sites.
John Pawlowski: 25 to 50 sites. Okay. And then final question on the annual RV revenue growth. I believe it was 4 -- a little over 4% in the quarter, which is below the low end of the downwardly revised range. So one, what's driving the slightly softer than expected start of the year in annual RV. And then two, what do you see on the ground that gives you confidence that annual RV revenue growth will reaccelerate over the balance of the year?
Paul Seavey: John, we have a -- in the first quarter, we have a bit of a leap year comparison, just FYI compared to the remainder of the year. So 2024 was a leap year, so we had an extra day 2025, that comp is more challenging in Q1. So it's like about 100-ish, 110 basis points that we'll adjust for the remainder of the year, just as an FYI.
Marguerite Nader: And then as it relates to just the guidance for the rest of the year, that really has to do with one property, one marina that is in the process of being brought back online, and it's taking longer than anticipated. So that's the driver of that.
John Pawlowski : Okay. Thanks for all the color.
Paul Seavey: Thank you.
Marguerite Nader: Thank you, John.
Operator: Thank you. And our next question comes from the line of Peter Abramowitz from Jefferies. Your question please. Peter, you might be on -- there we go.
Peter Abramowitz: Yes, sorry about that. Thank you for taking the questions. I was just curious, you had some pretty solid results on the OpEx side and disclosed what looks like a pretty favorable result on your insurance renewal. Just curious, there's been a lot of speculation about increased inflation potentially if there is kind of an extended issue with the trade war here. Anything that gives you pause, whether it be on payroll or anything else on the inflation side when it comes to operating expenses and maybe how you're thinking about that internally as you updated your guidance assumptions?
Paul Seavey: Yes. We watch those very closely. Roughly two-thirds of our expenses are in utilities, payroll and repairs and maintenance and the expected year-over-year growth for the rest of the year is slightly higher than the most recent headline CPI print of 2.4%. So as we looked at it, our pay increases take effect April 1 each year. And so considering where CPI is right now, anticipating that we're slightly ahead of that going forward. We note the possibility that, that changes and that there could be an acceleration, but we don't see an indication of that at this time.
Peter Abramowitz: Okay. That's helpful. And kind of in a similar vein, I guess, on conversions or possibly site additions whether it be RV or MH. Any pause when it comes to potential just cost inflation, whether that could impact just kind of the pacing of conversions or site additions or if you think that could impact yields on those?
Marguerite Nader: Yes. I think we're on track from a development perspective, as we've indicated throughout the year, our returns have gone down over the last couple of years as a result of increased cost pressures, but we don't see any large change in that.
Peter Abramowitz: Got it. That’s all from me. Thank you.
Marguerite Nader: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of [Thomas Asakiana] (ph) from Deutsche Bank. Your question please.
Unidentified Analyst: Good morning, everyone. A follow-up on -- could we just follow up on Peter's question there around OpEx. On the recurring CapEx side, is there anything we should be thinking about as it relates to tariffs, not just kind of regular OpEx?
Paul Seavey: On the recurring CapEx side, our budget is approximately $90 million for the year. We had about $85 million in recurring CapEx last year. Anticipate about $90 million this year. And similar to what we're seeing on the OpEx side, we're watching that very closely and aren't yet seeing any signs of pressure. I think that as the team manages through that, certainly, as it relates to labor and projects we're already into April. So contracts are already being signed for that type of work. So don't anticipate a significant increase and would expect to manage to that budget number for the year.
Unidentified Analyst: That's helpful. And then a question on the RV side, again, just on the marina side, sorry, seeing again your peers exit from that business. Can you just talk about kind of implications for your own business, whether it validates valuation or how you kind of think about it? And also just from a competitive perspective, how do you see their exit kind of changing anything in regards to the competitive landscape?
Marguerite Nader: Sure. Pick the first half of it -- or the last half of it first, which is the competitive landscape. These marinas, the marinas that are in place right now have been around for a long time. So from a local on-the-ground perspective, there's really no change. But relative to what does it mean in general in the marina portfolio, we bought underhead portfolio in I think it was 2017. And subsequently, we've added a couple of portfolios. We owned a portfolio a few years later to the marina -- to our marina portfolio. And those properties have performed in line with expectations, and we've really been able to seamlessly integrate them into our MH and RV portfolio. These are the assets that we've chosen are primarily annual leases with limited ancillary revenue. They're in strong markets with high demand for our slips. It's always good to see price points in the marketplace that support and enforce our valuations. But the properties have been doing very well, and the team has done a great job operating them for the last five or six years.
Unidentified Analyst: Thank you.
Marguerite Nader: Thank you.
Operator: Thank you. And our next question is the follow-up from the line of Eric Wolfe from Citi. Your question please.
Nicholas Joseph: Thanks. It's Nick Joseph here with Eric. Just one follow-up on the Canadian RV seasonal exposure. My understanding is that, the certain percentage, you talked 30% to 40% in the past, but please let me know if not typically booked for the following year when they leave this year. So curious where that reservation pace stands right now versus where it was this year or historically?
Paul Seavey: Nick, we do have roughly that level that reserve typically. We do see a lower number this year than we've seen in the past. It's about 20% lower than it's been. But I would say that it's early and there's a fair amount of time between now and January when those customers arrive. So we'll watch and see what happens, but we're happy to see the level of early reservations that we have to date.
Nicholas Joseph: Sounds good. Thank you. And then just one other question just on interest expense guidance. I think the current run rate is around $124 million but you're guiding to $132 million. So just trying to bridge that gap and it seems like there's only about $87 million of debt maturing in 2025.
Paul Seavey: Yes. We have the $87 million that's maturing. We do have an assumption in the budget for some investments, some working capital investment that we plan to make in the properties, and that's really the driver of the difference between first quarter and the run rate for the year.
Nicholas Joseph: Thanks. So that's not external growth, that's more investment in existing properties?
Paul Seavey: Yes.
Nicholas Joseph: Great. Thank you very much.
Paul Seavey: Thank you.
Operator: Thank you. Since we have no more questions on the line, at this time, I would like to turn it back to Marguerite Nader for closing comments.
Marguerite Nader: Thanks for joining today. We look forward to updating you on our next call. Take care.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.